Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2012 Tenaris Earnings Conference Call. My name is Carissa and I will be your operator for today. At this time, all participants are in listen-only mode. Later we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is also being recorded for replay purposes. I would now like to turn the conference over to Giovanni Sardagna, Director of Investor Relations. Please proceed.
Giovanni Sardagna: Thank you. And welcome to Tenaris’ 2012 fourth quarter and annual results conference call. Before we start, I would like to remind you as usual that we will be discussing forward-looking information in the call and that our actual results may vary from those expressed or implied during the call. Factors that could affect those results include those mentioned in the Company’s 20-F and other documents filed with the SEC. With me on the call today are Paolo Rocca, our Chairman and CEO; Guillermo Vogel, Vice President of Finance and Member of Board of Directors; Ricardo Soler, our Chief Financial Officer; German Cura, Managing Director of our North American Operations and Alejandro Lammertyn, the our Eastern Hemisphere Managing Director. Before passing over the call to Paolo for his opening remarks, I would like to briefly comment on our quarterly result. During the fourth quarter of 2012, sales reached almost $2.8 billion, flat versus the corresponding quarter of the previous year but up 4% sequentially as a recovery in OCTG shipment to the Middle East and higher sales of line pipe in Brazil more than offset lower sales in the USA. Our EBITDA reached $733 million which was 6% higher than the corresponding quarter of 2011 and 8% higher sequentially. Our EBITDA margin at 27% was one percentage point higher sequentially, mainly due to better product mix and efficiency improvement. Net income, however, was affected by an impairment provision taken on our investment in Usiminas in Brazil. Average selling prices in our Tubes operating segments were up 6% compared to the corresponding quarter of last year and 1% sequentially. During the quarter, our sales of high-end seamless product were up 54% of our total seamless volumes and are expected to improve further during 2013. In the quarter, our net debt increased slightly to end the year at $271 million, following investments of $202 million in capital expenditures and the payment of an interim dividend to shareholders of $154 million paid in November. Now I will ask Paolo to say a few words before opening the call to questions.
Paolo Rocca: Thank you, Giovanni and good morning to all of you. I consider that 2012 was an excellent year for Tenaris. I will start from safety. This year, we implemented a new safety program in all of our operation around the world with important result. All our safety indicator improved and the Injury Frequency Rate Index for 2012 showed 20% fewer injuries than in 2011. Just as importantly, this improvement could be seen across almost all our industry facilities around the world. Nevertheless, we still have a long way to go and we will maintain our resolute focus on improving our safety performance at all level. Safety is an increasingly important element of our competitive differentiation in the eyes of our customer and the communities in which we operate. Second, our financial performance. Our EBITDA increased this year 20% to $2.9 billion. The margin rose to an industry leading 27% driven by product development, by enhanced service to our client, by lower raw material cost and industrial efficiencies, including production for our new rolling mill induction. Earnings per share rose to 28% and we are proposing to increase the annual dividend for a second consecutive year by 13% with the final installment to be paid in May. Our position in North America has strengthened substantially during the year. Sales grew 23% versus 2011 and represented 49% of our total sales for the year, our leading position in deepwater Gulf of Mexico, in shale plays in the U.S., in (inaudible) through Gulf of Mexico has been the key drivers of this achievement. The new mill in Bay City, reflect our confidence in the future development of North America as a new challenge frontier for the entire energy industry. Our fees of premium increased this year 27% year-on-year within the total fees by value of our total connection grew 75%. We are continually expanding our portfolio of premium connection to satisfy the increasingly [complex] need of our dynamic industry. During 2012, we substantially increased our commitment to the development of the energy industry in Brazil. We have renewed our long term five year agreement with Petrobras and are strengthening our competitive position with new products and research facilities and through integration with our main steel supplier Usiminas. In Eastern Hemisphere we have expanded our network facility service and the level and quality of technical service we provide to our customer. And we are strengthening our presence in markets such as Saudi, Iraq, Nigeria, Angola, Indonesia and Australia where we are anticipating a strong demand growth in the next years. For 2013, we expect strong growth in demand for our premium OCTG products and deepwater line pipe in the Eastern Hemisphere led by (inaudible) gas drilling activity in the Middle East and deepwater drilling activity in Sub-Saharan Africa. While in North America, after a year of strong growth, we expect a year of transition as infrastructure constraints are addressed. Looking ahead, we see an industry which is changing rapidly, in terms of regional growth, product and service requirement and product development. Our challenge is to prepare our industrial base our human resources, our product development and research and development center, service deployment and internal processes to meet the demand of this very dynamic environment. In closing, I would like to thank Ricardo Soler for his contribution during the more than five years that he served as CFO of Tenaris. Ricardo had a long career of more than 40 years in Techint and 25 years in Tenaris. Under his stewardship, the Company has constantly maintained a strong financial position through the financial and economic crisis and in the following years of recovery and growth. I look forward to welcoming Edgardo Carlos to the role of CFO in July. Also, Edgardo has a long-term career at Techint and 12 years of experience in Tenaris. Thank you, Giovanni, and we can now open the call for any question you may have.
Operator: (Operator Instructions) And you first question will come from the line of Bill Sanchez of Howard Weil. Please proceed.
William David Sanchez – Howard Weil: Thank you, good morning. I guess my question – my first question would be just, if we kind of step back and look at the full-year guidance offered in the press release with regard to sales growth for the year being up moderately. Can you help us translate that in terms of how we think about from a revenue standpoint? Because I’m assuming when you made that comment, you’re talking about volume growth here, not necessarily revenue growth and when I look at the fourth quarter trends, you price per ton was up about 2%. Should we expect just given the mix dynamics you continue to see with regard to seamless, that revenue is going to essentially outpace volume growth in 2013?
Paolo Rocca:
 :
William David Sanchez – Howard Weil: And I guess just as a follow-up on the near-term outlook here with regard to seamless volumes for the first quarter of this year, clearly you saw the benefit in the fourth quarter from the higher mill uptime. I know last year’s first quarter you had experienced some downtime I think it was essentially company induced at Siderca and also Romania. Is that the plan again here in the first quarter, should we expect some downtime at the mills that would cause perhaps seamless volumes to be down first quarter versus fourth quarter.
Paolo Rocca: We will have a slightly higher level of activity. We will have the unknown stoppage in the Southern Hemisphere this time in (inaudible). The level of activity in January and February is likely lower than Southern Hemisphere so we will have some lower production and sale in seamless, because of this. But as a whole I would expect a level on the same or higher level of seamless in the first quarter.
William David Sanchez – Howard Weil: Great just one more for me, if we could talk just a little bit on the equity income line going forward I know we had an impairment charge there. We also saw a negative impact I guess on just the equity pickup line as a whole in terms of that being a loss. That’s typically a positive contributor for Tenaris. Could you perhaps give us guidance is there an ongoing headwind in Brazil that we should be thinking about that equity income line being punitive to your earnings during 2013?
Paolo Rocca: Well as you correctly say in this quarter we are registering the impairment timing from the reassessment of the perspective all the investment in Usiminas and this is directly resulting into an impairment charge of $74 million and indirectly into an additional $32 million impairment and impairment loss. So this you can say is an exceptional charge that is loaded on the fourth quarter. Looking ahead I would expect Brazil to improve and the situation to improve, because Brazil really during 2012, GDP growth has been 1%, steel demand has been really constrained. Against our expectation, we expect that Brazil to maintain a higher level of growth and we found the country really in a very low motion with industrial sector even registering negative growth. 2013 should be different, and we see sometimes that activity is rebounding. The measure taken by the government are having an impact in the overall level of activity, so Brazil will recover as a whole between the first half of 2013. We should have, let’s say, a more positive results of this line in our balance sheet and no repetition of the exceptional loss registered to impairment.
William David Sanchez – Howard Weil: Great, I appreciate the time. I’ll turn it back. Thank you.
Paolo Rocca: Thank you.
Operator: And your next question comes from the line of Frank McGann of Bank of America Merrill Lynch. Please proceed.
Frank J. McGann – Bank of America Merrill Lynch: Yeah, yes good morning. I was just wondering, if you could give a little bit more color perhaps on just the level of price competition that you’re seeing in the U.S., particularly with regards to imports and that situation particularly with the Korean imports? And then, in terms of costs overall, what you’re seeing in terms of different cost components, labor, as well as raw materials and your ability to – the pricing discussions that you have and contract discussions that you have related to that?
Paolo Rocca: Thank you Frank. We’ve just seen the reason about pressure for increasing imports into the United States. The share of the import has reached close to 55% of the overall market and some of the players like Korea where the price is really being very, very aggressive in the recent months. This is putting pressure on the low-end of the market, but I will ask German to comment on this point, which is the competitive environment and how this is affecting our price in the U.S.
German Cura: Well good morning Frank. Very shortly we’ve seen the two effects; reducing activity despite efficiency gains, coupled with increasing imports. Now, this will be reflected in the way logics has evolved particularly as of June last year. And well, as mentioned, Korea has played a very important part. So you know Korea has imported during 2012 is something which is short of 800,000 tons during the year. Now going forward we see that what imports are there continue to be there, Korea continues to affect the market. As we’ve seen in the last couple of months levels of close to 100,000 tons an actually we had expectation that we’ll recover. We anticipate that 100 to 120 regions at the end of the year is not unthinkable. So, that coupled with efficiency was translating a bigger operation consumption operation. But in short, the last part of 2012 was tight. The results I mentioned, we see some of that into the first semester of 2013 and the expectation is that demand will probably allow us to see a space, a little bit less precious space in the second half of 2013.
Ricardo Soler: As I see also in the past, remember our ceiling to [recover] are only partially affected by the pressure of the import on the low end that our segment in the premium and are very important for us in terms of segment in the premium in the shale in the more demanding application in which I think that the pressure from import is not really not a factor. Demand will be more important and it will be dependent as the amount we are seeing from the level of activity in the second part of the year. Second part of your question concerning the cost, we see the increase in the iron ore but frankly if I should look at the cost structure as a whole, I wouldn’t expect major changes. Because in the end the type of material driven by the level of activity in China. The level of demand of steel in China being 1% in 2012 is forecasted to be around 3% in 2013. So this as number that do not imply at least from what we have seen. A substantial pressure on iron ore and the other raw materials. So in this sense, also stress should not show very substantial change. We expect the level of cost more or less in line with what we have today, and possibly in the first quarter, we will have also in our accounting, we will reflect some lower cost of iron ore that we had in the purchasing on the third and fourth quarter. And when I talk about labor, it depends from the movement in the exchange rate. We have cost pressure in Argentina, no doubt, less pressure in Mexico as a whole considering the cost reduction plan that we have underway, the different plan, we are obtaining this. We do not expect major effect coming from the cost on our system. On the contrary, allocation of volume and increasing participation of the Mexican plant should gradually show efficiency in our system.
Frank J. McGann – Bank of America Merrill Lynch: Okay great. Thank you very much.
Ricardo Soler: Thank you.
Operator: Your next question comes from the line of Michael LaMotte of Guggenheim. Please proceed.
Michael Kirk Lamotte – Guggenheim Securities, Llc.: Thanks. Good morning. My first question has to do with the welded volumes and the reporting of blending your Brazilian line pipe volumes with your U.S. pipe and the impact that has on overall reported volumes and expected realizations, there is a big variance obviously in terms of the drivers of volumes of both segments as well as the average pricing in both of the segments. Can you give us a sense of what the mix looks like in that, in welded pipe as it unfolds over the course of the next few quarters?
Paolo Rocca: You’re right, that let’s say the welded pipe world is not homogeneous. I mean we have a very competitive – we go from very competitive low margins fees into the U.S. of non-treated material to very higher price and high margin product in the heat treated premium welded material. For instance for the five year agreements, planned five year agreement of Petrobras the drilling in the offshore. So, it is, let’s say, the recent big variety of product and different in product. What is changing over time, while the share of the welded pipes, the United States and Colombia is relatively stable over a time and we do not expect major changing volume in the coming quarter, in the case of the welded pipe for value-add, we expect that the first semester of 2013 to be a strong semester. We had dispatch of important line pipe, is (inaudible) these are offshore line pipe that are very demanding and has high level of value added. In the first semester of 2013, we will be dispatching this product and other of value and casing a connector for Petrobras. We do not envisage a project of the same size in the second semester. We expect the activity of Petrobras to pick up again in 2014, but in the second half of 2013, we are seeing some constrain in delay in other major projects.
Michael Kirk Lamotte – Guggenheim Securities, Llc.: Okay. So, if I’m hearing you correct and, thank you for the clarification. The strong first semester in Brazil with greater uncertainty into the second semester and 2014, but if we get a recovery on the U.S. side, the ability to offset that in terms of total volumes, could it - is it possible that the welded volumes could be relatively flat and stable in aggregate over the next four to six quarters?
German Cura: I would say that the recovery in the U.S., in the second part of revenues we had 150 rigs, will not compensate for the slowdown in the Brazilian activity I think, because volume will decrease, and probably more margin wise, some of this project in Brazil are let’s say complex and have a high value added and a higher margin, but it will depend in U.S., our ability to see the dynamics of import. Dynamics of rigs in the third and fourth quarter of 2013 is limited, would be enough to constrain in the import to have effect on prices and to some extent also on volume.
Michael Kirk Lamotte – Guggenheim Securities, Llc.: Okay and Paolo thank you. And if you wouldn’t mind just reminding us your overall strategy for Brazil, you’ve taken correct me if I’m wrong, but here a more vertically integrated approach to that market in terms of the investments in overall mill capacity is, can you talk about how that is involving and where you believe you are in terms of the strategic plan for Brazil?
Paolo Rocca: Well, I think that we consider Brazil a key country within Latin America and for the energy development for sure. So, our strategy is to strengthen gradually our positioning in the ceasing and down floor product and on the pipeline business that is required by these very complex developments of Brazil. To do this, we need to relay on full integration with our key supplier and be able to guide the also R&D development of our supplier. For instance, in the proved that I mentioned (inaudible) we are using imported material for steel not because some of the products are underdeveloped in Usiminas, but for the second stage and for the future project of the same complexity, we count and been able to develop a totally local supply. So our product will be 100% domestic and this will be important in fulfilling the requirement that Brazilian Government and Petrobras is establishing for the supply of import for the development of the steel industry. In long-term program our contract with Petrobras is also five-year contract. We’ll just sign a five-year contract for a range of product of the Petrobras need. We are supplying also private independent driller. Our strategy is to proceed, strengthen our integration by enhanced cooperation with our supplier of raw material and combine also effort in the research and development in a new center we are opening during 2013 in the center growth of Petrobras in which Petrobras is inviting many companies supplying the system. This research and development center will be very important for supporting our in-road into different areas of this business.
Michael Kirk Lamotte – Guggenheim Securities, Llc.: And then, one final question on Brazil, if I may. The shift to domestic, meeting being your contractual obligations with Petrobras with domestically produced product. Does that reduce the cost of delivery as well or is it simply about meeting local content requirements within Brazil?
Paolo Rocca: No, we are building a whether we count have been able to build a stiff payment, by working together will strengthen our competitiveness not only for Brazil, but also for export of specific range of product all around the world, in a very competitive way. So we are working in Brazil, for Brazil, but our working in Brazil also to supply specific [niche] that we consider profitable niche overall. It connects in one of this and the alliance that we are building with Usiminas should support this.
Michael Kirk Lamotte – Guggenheim Securities, Llc.: That’s great. Thank you Paolo.
Operator: And you next question comes from the line of Stephen Gengaro of Sterne Agee. Please proceed.
Stephen Gengaro – Sterne Agee: Thank you good morning, good afternoon guys. Just wanted to follow-up on one of the things in the press release and I guess it combines a lot of what you are talking about. But when you look at your expectations for EBITDA margins around current levels, are you talking about I assume you are talking about for all of ‘13 and as I think about that what are the keys to really seeing maybe some more positive margin progression as you get to the years of pricing you think more likely, or is it more likely that you are increasingly more efficient as some of the facilities?
Paolo Rocca: Well, first of all, let’s say the 27 EBITDA margin, I think, is a very strong margin within our industry. I mean, Tenaris is clearly a leader in this and the efficiency in investment and the differentiation of product build over the year are the foundation of this margin. Now, if you are working continuously in how we can enhance these on both sides, on one side, the differentiation in the product and in the market and on the other side in increasing efficiency on the system the answer is clearly, yes, we are working on all of it. Now, I want to stress that part of our commitment, an important part, is to the service that comes together with the delivery of our product and the collaboration with the oil industry. On this basis, we can create a high value differentiated product service combination, and then, industrial excellence will also increase profitability. We are continuously working on all. As I said, also in the past technical sale, the support of our client development product, up to now has been a stronger driver of differentiation of profitability. That efficiency is also very important, but the key for our business, considering a competitive environment, in which there is excess capacity in different parts of the world a key operator ability in my view is that really the combination of development service and regional deployment. I don’t know if this is covering your point.
Stephen Gengaro – Sterne Agee: That’s helps and maybe to even shed some more light on it, if you looked that just as an example you looked at your third quarter to your fourth quarter in 2012 and you had EBITDA margins, which where those are nice sort of step up and then you look at kind of where your volumes were better and where your volumes were worst and obviously you have a very good quarter in Middle East. How do those different just sequentially – 3Q to 4Q, which geographies were most positive for the improvement in margin and which were maybe negative or flat, just to kind of give us a little more color on just in this instance what drove the margin growth and how that…
Paolo Rocca :
(:
 :
Alejandro Lammertyn: Yes, I would say, as Paolo mentioned, Middle East is an important factor of growth for 2013. We have seen some positive impact in the last quarter of 2012, but still, this was for delivery for Iraq, where the range of products was not the same as we are looking at 2013, with where we will have very demanding projects coming from Aramco where we see the activity growing, from 120 rigs at the beginning of 2012 to 140 at the end of 2012, and we are expecting 170 rigs in 2013. This is mainly driven by gas, requirement of gas. These have been already standard, (inaudible) requirements with our important shares (inaudible). Also, we see activities in the Emirates, where the delivery for the requirements of the artificial island are coming and also the gas requirements of residency are coming into play during 2013, and we’re also seeing stable activity and that is compensating a reduced activity in (inaudible) increased activity (inaudible) where we had the majority as we had a good share. Also, we see, talking about the Eastern hemisphere, we see an increased activity in Sub-Saharan Africa in the offshore. Mainly in shallow waters, the activity is increasing in shale and we have long term contracts and we are also very active in the deep offshore where we are having an important participation in the pre-salt of Angola and where our presence will increase accordingly. We are seeing four more rigs coming into play in 2013 in Sub-Saharan where two will be for Angola. Mozambique also is important where E&I has a strong participation and where we have the three-months agreement with them. 
Stephen Gengaro – Sterne Agee: Thank you.
Alejandro Lammertyn: I hand over to you for the rigs.
Paolo Rocca : Thank you and I will tell you that the deepwater is for sure very important. The deepwater increased in the Gulf of Mexico and in West Africa and in Southeast Asia, not only drives downhole product of high complexity and on which we have very strong position with our premium joints and with raw material. Also drive very complex line pipeline, riser and all of the systems that participate there in the subsea installation. Tenaris is leader here and the new plant in Nigeria for supporting our activity in West Africa, so we feel very comfortable about that. When deepwater moves, it moves our downhole pipes. It moves also all the line pipe, seamless complex products and coating. This is a niche of high value for us.
Stephen Gengaro – Sterne Agee: Now that’s very good colors. Thank you.
Operator: And your next question comes from the line of Caio Carvalhal of JPMorgan. Please proceed.
Caio Carvalhal – JPMorgan: Hi good morning. I think part of my question were already answered, but I would prefer a comment anyway. We know of course that year-over-year, North America participation in the overall sales increased, but that was not what we saw on a Q over Q basis and I understand that, that’s not the expectation for next year. So, my understanding is that we should see 2013, much more like the 4Q of ‘12, rather than the full year of ‘12. However, we also noticed that in terms of – that part of the profitability was maintained partially because of South America and Middle East. I think we heard a lot of Latin America so far, Brazil, Venezuela, Columbia. Could you talk a little bit on your perspective from Middle East? I know it’s of less relevance but it seems to be increasing. The level of – the share of revenue we saw on the fourth Q from this geography should be sustainable over 2013 or much more based on a one-off? And if you could, also discuss a little bit of the dynamics in terms of welded and seamless in that geography that will be great as well. So, and that’s it.
German Cura: Well I think we – Alejandro made a comment, quite extensive comment on Middle East. The drive for gas is moving on Middle East and we expect in 2013, a substantial increase of our sale of premium products in all of the region. So, this is the sale will be a key driver of our sales in 2013, no doubt. We are talking about South America as I mentioned before the missing point is Venezuela, Venezuela in this moment it has severe financial constraint difficulties in moving material it’s always is not active in our shipment because of the financial constrain than Venezuela had. But the rest of the region is moving Mexico is moving slowly expanding operation, Columbia should have 2013, probably stronger than the 2012. So we are treating on that and Argentina will depend on the how fast the development of shale could be effectively undertaken to be in the second part of 2013, where we start to see some increase, but we do not have visibility at this moment on the policy on decision making the major define an important investment in this sector during 2013. I think on welded and seamless, we mentioned before and we comment that on the relation between seamless welded the different position, the different situation we have in United States in Columbia compared to what we have in Brazil.
Caio Carvalhal – JPMorgan: Okay, thank you very much.
Operator: And your next question comes from the line of Igor Levi of Morgan Stanley. Please proceed.
Igor Levi – Morgan Stanley: Good morning, afternoon for you guys. Premium percentage has been hovered around 55% for much of the year and I think we are expecting to start approaching 60% by year end. Would you talk a little about where that came out in the fourth quarter and how do you see the premium mix evolving in 2013 and beyond?
Paolo Rocca: We lost the line for a moment. Can you – the last question if you can repeat.
Igor Levi – Morgan Stanley: So the premium percentage has been hovering around 55% for much of the year and we have been expecting this to approach around 60% by year end. So I was wondering if you could talk a bit about where we came in at the fourth quarter for that and how do you see your premium mix evolving in 2013 and beyond?
Paolo Rocca: Yes, in the fourth quarter we have been basically in line with the previous quarter during the year around 54%, 55%. These are let’s say the differentiated, the high end products, remember this is not only premium, but also included a product in which we have very strong differentiation a product in line but in the industrial tools and in power generation sales, we expect this, during 2013 gradually to increase. In the end probably, we will be at a slightly higher level of what we had in the fourth quarter of 2012. This is a trend that will go on, depending on how fast we develop probably, adequate our industrial structure to support fully the supply and the delivery of this high end product.
Igor Levi – Morgan Stanley: Thank you. And you’ve talked about offshore and shale being the fastest growth areas, with offshore I think you mentioned, was expected to grow 50% in 2012 and shales around conventional 15% to 20%. Have you seen those type of growth rates over the course of the year in those particular areas, and what do we expect for growth there in 2013?
Paolo Rocca: Well, on this I would like German, how we see the trend has increased in the quarter and in shales, particularly in U.S. and how well this is.
German Cura: Sure. Now starting with the Gulf of Mexico we, I think have seen particularly the same as 2012 levels, which are pretty much close to what their 2011 levels were and we continue the trend to on hovering closer to that over the course of 2013. Year-over-year, we’d expect in deepwater Gulf of Mexico to probably grow at a level of just short of 20% in generic terms. Shale flow naturally percent in their presentation shale gas in particular has been negatively affected. Change in Marcellus going through a substantial reduction during 2012 and it is our expectation that they are going to remain so during 2013 as well, this is being partially offset by shale oil, the Bakken particular portions of Eagle Ford some liquid shale as we call it. But overall year-over-year I think net when we look Australia and we ships there, I think we obviously some power reduction. This is the same and one comment on this (inaudible) position (inaudible) constrained by infrastructural issue in Canada in U.S. and in Mexico also. Gradually over during 2013 and 2014, we expect this infrastructural issue there are reducing that the net drive that the oil producer, and gas producer are receiving will increase the set and we gradually stimulate increase activity in shale in oil and later on I think also showing last time. We are very positive on this, why we change, we call this challenge in new frontier, we think that U.S. period of medium term two, three, four year will have extraordinary change of expanding its energy base and data base and use of gas for different purpose including (inaudible), but for the periods, for the short time we will also need to solve a chain of infrastructure programs that are constraining the moment material and affecting the net price that the producer are getting.
Igor Levi – Morgan Stanley: Then lastly, if you could just touch on the trade case any potential to see anything in the first half of this year materialize?
Paolo Rocca: I think that what we see in the market and in the import and the aggressiveness standard quarter, it took which probably getting into the states and the damage this is causing to important sector of the industry will justify a key in some moment during 2013, but we will continuously look into this and also listen to the opinion and the position of all the rest of the industry this could be effective even more than that.
Igor Levi – Morgan Stanley: Great. I will turn it over.
Operator: And your next question comes from the line of Amy Wong of UBS. Please proceed.
Amy Wong – UBS: Yes. Hi, good morning. I have two questions please. The first one is can you just provide a little more color in your North American comment, how you would expect our Canadian volumes to involve this year and what you are hearing from your customers in terms of activity in the oil sand. Secondly, I have a house-keeping on your outlook in capital increase and particularly trade receivables for December shipments, could you comment why we saw this trend happen in the end of 2012 and whether or not those receivables have already been collected as of today as we speak? Thanks.
Paolo Rocca: Yes, thank you for the question. I think Canada is a very good example of the infrastructure constrain limiting the potential of development, but here, German, maybe you can comment of what to expect, basically what are causing had this year, but German you may expand a bit.
German Cura: Well, I think Canada is perhaps the basic example of how infrastructure limitations are affecting the oil development in Canada, particularly come from the thermal space, which in absolute terms continues to remain a very important space I think what we have developed over time a very important leadership role as we have indicated in the past market share on the premium connection side of it which is north of 70%. But volume wise we are expecting 2013 to probably be lower than what 2012 has been. Now on the last side, on the shale side I think it’s pretty much part of the rest of the gas North American dynamic. So, in short we are not – I think we are looking at Canada from a perspective I was expecting a bit less operating activity overall that would affect overall of volumes.
Paolo Rocca: Yes, let me add is very likely that in Canada, the most effective part will be, well, the low-end part of our sales, while on sub-deal program are going on, and probably on seamless we may be able to have a volume similar or slightly below what we got in 2012. Construction complaint are very serious today in Canada. Some of the (inaudible) are getting $60 for per barrel of oil because of – obviously, coal is the issue, but quality in term of a grade rate, but also because of the logistic of this. During 2013 and ‘14, these will be sold and the potential of Canada is very, very huge. Our position in which the three plants, in Sault Ste. Marie and Calgary and Nisku is unmatched by anyone, but very strong and should recover fast, and we will be very well positioned in premium and in all the range of product. Now, second question on receivable; this is Ricardo, a question for you, why we see this increase in receivable and what’s happening to it.
Ricardo Soler: Regarding working capital receivable, during the last quarter, we have seen increase in revenue capital mainly in receivables. This is in part related to the increase in sales in the last months of the quarter. Looking forward, we expect to reduce the level of working capital during the next quarter, and of course, we are going to reduce the level of outstanding days of collection, and of course, we have already collected, I will say, that increase in today’s level of the year.
Paolo Rocca: In general, when the North American activity goes down a little and the economics is going up, our level of working capital increased and because for different reasons. The lead time, the timing and receivable are moving slower in the Eastern Hemisphere than in the North America.
Amy Wong – UBS: Great, thank you very much.
Operator: And your next question comes from the line of Julien Laurent of Natixis. Please proceed.
Julien Laurent – Natixis Securities: Yes, good morning. Two questions from my side. First of all on Brazil, could you quantify the size of this market for you, is it 10% of your sales, and regarding your agreements with Petrobras, is it a normal commitment in term of market share with Petrobras or is there a commitment in volumes? Second question is on Venezuela, do you have any news about the arbitration?
Paolo Rocca: If I understand well, I’m not sure, maybe you can confirm. You are asking about the position?
German Cura: The relevance of our Brazilian sales for us, is it correct?
Julien Laurent – Natixis Securities: Do you have any – I am trying to quantify the size of this market for you, is it 10% of your sales or could you quantify in terms of volume and given that you are offering in premium connections there it would make sense in terms of sales? Is it a percent of your revenue?
Paolo Rocca: Well, I’d say Brazil - I will then give a precise figure, because it’s really changing very much all the time between, let’s say, depending of the size of the project that could be there, but anyway, in overall, size of this could be in the range of let’s say close to 1 billion when there is reasonable sales of line pipeline. Sometimes and considering also the equipment sales, because you know we have a branch that is (inaudible) in our classification in our reporting and that is supplying equipment in which Petrobras is the main client. For instance, this year will be an year of lower sales because of the delay in project for Petrobras, but it is also contributed to this. So we can expect Brazil to be in this range usually between 800 million or 1 billion over time. Hopefully in the medium run, it could – it will be higher. This was the first question. The other question is concerning the arbitration. I do not understand that to which arbitration are you referring to.
Julien Laurent – Natixis Securities: Yes, arbitration about the Venezuela and the nationalization of your plants there.
Paolo Rocca: Yes, we have an arbitration going on and we are pursuing this case, but we are in the, let’s say, this is a long process, we are in the stage of appointing the arbitrator. This is not a faster – fast moving arbitration. There are times when there is lots, and it’s really taking all the time in hand. So that you will see over let’s say period of years. By the way we have a very strong case. So we are very confident in the end results of the arbitration for the exploitation of our share, basically in material and in the seamless pipe producing plant. But we’ll not be sensing that we will see very soon.
Operator: This concludes our question-and-answer session for today. I will now turn the call over to Giovanni Sardagna for closing remarks.
Giovanni Sardagna: Well, thank you all for taking part in the call. We hope to hear from you very soon.